Operator: Greetings and welcome to the PowerFleet's Third Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. And a question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to your host, Mr. David Wilson, PowerFleet’s Chief Financial Officer. Sir, you may begin.
David Wilson: Our remarks today will contain forward-looking statements. Our actual results may differ from those contemplated by these forward-looking statements. Factors that may cause our actual results, performance, or achievements to be materially different from those expressed or implied by such forward-looking statements are described in today's earnings press release. Any forward-looking statements that we make on this call are made only as of today, and we assume no obligation nor do we intend to publicly update or revise any forward-looking statements to reflect subsequent events or circumstances. During the call we will present both GAAP and certain non-GAAP measures. A reconciliation of GAAP to non-GAAP measures is included in today's press release. The press release is available on the Investors section of our website at ir.powerfleet.com. With that said I will hand the call over to Steve Towe, CEO of PowerFleet. Steve?
Steve Towe: Good morning, everyone, and thank you for joining today to discuss our third quarter results, our first since completing the Fleet Complete transaction. I am excited to share the steps we have taken and the progress we have achieved. Securing global scale through accretive M&A was a key pillar of our strategic plan, shaping our major initiatives since I joined PowerFleet three years ago. The rapid follow-up of the Fleet Complete acquisition following the mixed combination has fundamentally transformed our business, providing a platform for accelerated growth. Let's look at the financial headlines. Quarterly revenue in Q3 reached $106 million, a $33 million increase, representing 45% growth. Importantly, service revenues accounted for 77% of the total revenue in the quarter. Adjusted gross margins in the quarter exceeded 60%, with service margins close to 70%. Adjusted EBITDA came in at $22 million, a $10 million increase year-over-year, reflecting a 77% growth rate and an annual run rate exceeding $85 million, doubling 2024's adjusted EBITDA of $43 million. Our cost synergy program continues at pace with an exceptional $15 million in annualized savings secured, exiting the December quarter and we remain on track to exceed $60 million by year-end. Looking ahead, we are focused on realizing an additional $21 million in cost synergies over the next 18 months, reflecting our continued commitment to drive efficiency and maximizing near and long-term value. Turning to go-to-market, the Fleet Complete transaction has significantly expanded our opportunity set and strategic optionality. The addition of scale partner channels with the likes of AT&T and Telus serves as a force multiplier, providing extensive market reach through a success-based investment model rather than a speculative one. In North America, we are actively evolving our approach to fully leverage a hybrid strategy to intergrowth both direct sales and channel partnerships. The refined model positioned us to maximize market penetration while optimizing sales efficiency and cost effectiveness. The importance of our direct sales efforts was exemplified this quarter by securing a major deal in North America for our in-warehouse solutions with one of the largest beverage companies in the world. This agreement includes an initial multi-million dollar order with a long-term potential in the $25 million to $30 million total contract value range. This landmark deal was the largest of many this quarter for our Unity safety-centric solution set, which continues to gain global traction. Additional highlights include continued share of wallet expansion with the largest soft drinks bottle in the world, with an additional 5,000 subscribers added to the Unity platform; an initial $1.2 million order from a leading Australian utility provider for our safety and compliance solutions; and finally, a more than $1 million ARR additional order with a top mining operator with a clear path for further expansion. On the indirect front, Fleet Complete’s AI camera solution continues to build traction, with sales volumes through its largest telco partner up 52% year-over-year, while a key partnership in Mexico with a global insurance provider continues to drive multiple new logo wins. Looking at product delivery, we've expanded R&D team from just 85 engineers a year ago to a 400-person strong team with deep domain expertise today. This growth enables us to accelerate the execution of the Unity product roadmap, guided by a clear understanding of market needs and demand drivers. Leading this initiative is Mike Powell, our recently appointed Chief Innovation Officer. With over two decades of experience in digital transformation, AI and automation, Mike is uniquely positioned to advance our Unity AIoT ecosystem and accelerate product innovation. His leadership will ensure we maximize Unity's potential while aligning our development efforts with high-value opportunities. As we sharpen our strategic focus, we're also taking decisive steps to align resources for the most impactful growth areas. This means prioritizing high-velocity opportunities while exiting non-core or lower growth segments. A clear example of this approach is our decision to discontinue support for an end-of-life ELD business that makes it previously acquired from Trimble. While this move has an immaterial impact of less than 1% of our total revenue, it removes a significant source of drag and distraction, allowing us to reallocate resources towards scalable, high-value initiatives that drive long-term growth and efficiency. With our organization alignment well underway, cost synergy is tracking ahead of plan and our go-to-market strategy gaining momentum, we're executing on key initiatives to drive long-term growth and profitability. Our investments in product innovation, sales channel optimization, and operational efficiency position us to capitalize on emerging opportunities while maintaining financial discipline. I'll now hand over the call to David to provide additional detail and insights into our financial results. David?
David Wilson: Thank you, Steve, and great to reconnect with so many of you on today's call. Ahead of reviewing our detailed financial results, a quick reminder of key Pro Forma adjustments. Pro Forma comparisons, all prior period comparisons are based on Pro Forma financials for the combined MiX and PowerFleet businesses, whereas our 10-Q will reflect only legacy PowerFleet numbers. One-time expenses, this quarter's expenses include $6.7 million in one-time costs for transactions and restructuring, excluded from adjusted EBITDA and EPS on ongoing run rates. Amortization impacts, results also include $5.4 million in non-cash amortization related to the MiX and Fleet Complete acquisitions, impacting service gross margins by 7%. In addition to these Pro Forma adjustments, and as disclosed in the 8-K/A filed with the SEC on December 17th, the conversion from Canadian to U.S. GAAP accounting standards for Fleet Complete had an overall positive impact on revenue. Under U.S. GAAP, there are various adjustments that affect the composition of Fleet Complete’s revenue, resulting in both additions and offsets across different revenue categories. Gross up of sales through the channel, under U.S. GAAP, Fleet Complete is recognized as the principal in certain transactions, and as a result, records revenue based on the amount charged to the end user with related agency commissions, classified as sales and marketing expenses. This treatment increased both revenue and sales and marketing expenses by approximately $3 million in the quarter. Unbundling of the product sales. Under U.S. GAAP, product sales are treated as a separate performance obligation with revenue recognized upon shipment. As a result, recurring service revenue tied to hardware subscriptions was reduced by $2 million, shipments before the October 1 transaction closed, and by an additional $200,000 for shipments thereafter. This $2.2 million reduction in service revenue was offset by bundled hardware revenue from Q3 shipments. While this creates a pickup in revenue, the benefit is expected to be temporary. The unbundling of product shipments from subscriptions impacts EBITDA, and we are actively revising our service terms to ensure hardware is no longer treated as a separate performance obligation. Once implemented, this change will reduce product revenue substantially offsetting the benefit of the channel revenue adjustment. Now let's dive into the financial performance of the quarter beginning with revenue, which grew by $32.8 million or 45% year-over-year reaching $106.4 million. This increase was driven by Fleet Complete and underlying organic growth, particularly in that in-warehouse safety solutions, where revenue was up over 40% in the U.S., and 15% in Europe and the Middle East. Notably, our new sales leadership in Europe has been instrumental in accelerating growth across the region. Looking at the components of revenue, product revenue grew by $7.3 million or 42% to $24.7 million driven by Fleet Complete and strengthened up in-warehouse product line offsetting ongoing structural headwinds in the U.S. logistics segment. Product gross margins of 30.6% were substantially higher than the 25.3% recorded in the prior year. Service revenue grew by $25.5 million or 45% to $81.7 million from $56.7 million fueled by Fleet Complete and our Unity safety centric offerings. Service margins adjusted of $5.4 million in non-cash amortization of acquisition related intangibles expanded by 4.6% to 69.3% from 64.9% in the prior year. Combined adjusted gross margin exceeded 60% versus 55.5% in the prior year. Turning to operating expenses which totaled $60 million for the quarter, including $6.7 million in one-time transaction and restructuring costs versus $5 million in the prior year. After adjusting for these costs total OPEX was $53.3 million versus $37.4 million in the prior year with the increase in spend solely attributable to Fleet Complete transaction. On an adjusted basis, selling, general, and admin expenses was $48.7 million or 45.8% of revenue down from 46.2% in the prior year. Within SG&A, general and admin expenses was 27% of revenue representing a 4% improvement from 31% in the prior year, with the realization of cost synergies a key driver. Sales and marketing expense rose to 15.9% of revenue, up from 12.2% in the prior year, driven by our previously communicated investments in go-to-market and approximately 3 million in sales agent expenses related to the U.S. GAAP adjustment for Fleet Complete's channel sales. Research and development expense, including $4 million in capitalized software, totaled $8.5 million, or 8% of revenue in line with the 7.9% in the prior year. This level of investment remains efficient and reflects the cost effectiveness of high-quality engineering talent in South Africa through the mixed merger and in Estonia through the Fleet Complete acquisition. Turning to adjusted EBITDA, which increased by 77%, is $22.5 million, up from $12.7 million in the prior year. This increase is driven by the Fleet Complete transaction, inclusive of an EBITDA add back, a service revenue never recognized for products shipped by Fleet Complete prior to October 1st, organic growth and the success of our cost synergy program. Net loss attributable to common stockholders was $14.3 million, or $0.11 per basic and diluted share compared to $0.05 in the prior year. After adjusting for one-time expenses and the amortization of acquisition-related intangibles, net profit attributable to common stockholders was 1 penny per basic share compared to 3 pennies in the prior year. Higher interest expense and taxes in the current period of $0.07 more than offset the $0.02 difference. Closing with cash and the balance sheet, where we ended the quarter with net debt of $229.7 million, consisting of $38.6 million in cash and $268.3 million in total debt. Net debt is currently tracking below our $235 million year-end guidance, supported by $5 million in proceeds from the Fleet Complete capital raise, which were earmarked for transaction fees and remain unsettled. Finally, we are raising our fiscal 2025 guidance to reflect the strength of our year-to-date financial performance, with organic revenue growth now projected at 7%, up from our previous guidance of 5%, and the impact of the transition to U.S. GAAP in Fleet Complete. In summary, annual revenue is expected to exceed $362.5 million, a $10 million increase from our prior guidance of approximately $352.5 million. Annual EBITDA, including $5 million in annualized run rate synergies is expected to exceed $75 million compared to our prior guidance of $72.5 million. That concludes my remarks. Steve?
Steve Towe: Thanks, David. The first couple of quarters following the Fleet Complete transaction are naturally transitional as we align the business across multiple dimensions to establish a strong foundation for long-term success. A transformational program is underway to actively align our organizational structure to drive sustainable growth and operational excellence. We are building an integrated structure for centralized functions including technology, customer experience and operations, marketing, finance, corporate development, and HR. Each of these functions is designed to support the entire organization ensuring consistency, efficiency, and scalability while enabling us to deliver value across all of our business units. This unified approach allows us to maintain a cohesive strategy while empowering regional go-to-market and customer success teams to execute effectively in their respective markets. Harnessing our expanded go-to-market capabilities is a critical focus as we head towards fiscal year 2026, particularly enabling channel sales for Unity in-warehouse solutions and AI cameras. At the same time, we are sharpening our commercial execution, applying a data-driven sales approach to maximize upsell and cross-sell opportunities across our 8,000 enterprise and 40,000 mid-market customers. Our largest telco channel partners are fully engaged in the qualification process required before they can begin reselling our enterprise solution portfolio. As part of this process, we are working through key milestones including solution validation, sales enablement, and integration into their partner ecosystems. This is a critical initiative, and we anticipate commercial activity to ramp early in quarter two of fiscal year 2026. In parallel, we are rapidly building additional pipeline centered on our device agnostic and unified operations capabilities enabled through Unity. As demonstrated in our recent Investor Day videos, our ability to integrate seamlessly across a wide range of devices positioned us uniquely in the market. Additionally, we now offer the broadest AI camera portfolio in the industry delivering comprehensive visibility both in the warehouse and over the road. With both direct and indirect sales channels advancing at pace, we are well positioned to accelerate market penetration and capture share in this rapidly evolving space. To conclude, I'm more than delighted with the progress we are making and the strong financial performance we've delivered coming out of the gate. Standout metrics for the quarter, including gross margins exceeding 60%, service gross margins tracking towards 70%, and EBITDA margins exceeding 20% underscore the strength of our model and the disciplined execution of our strategy as we head towards the new financial year. We're mobilizing the organization to achieve our stated financial goals with the primary focus on driving top line growth acceleration starting in fiscal year 2026 as we unlock the full potential of our platform and the extended market reach we have created. I'll turn it back over now to the operator for Q&A. Operator?
Operator: Thank you. [Operator Instructions]. Thank you. Our first question is coming from Scott Searle with ROTH Capital. Your line is live.
Scott Searle: Hey, good morning. Thanks for taking the questions. Congratulations, great job on the quarter. Steve, maybe to start, in terms of organic growth, 7% is a great number out of the gate here. I'm wondering if you could calibrate us in terms of Fleet Complete contribution in the December quarter. And then given that building in the current fiscal year, how are you starting to think about fiscal 2026? I know it's a little bit early, but you're talking about inflection on the organic growth rate, I'm wondering if you could expand on that a little bit.
David Wilson: Yes. Scott, let me start in terms of the Fleet Complete piece. So in terms of Fleet Complete revenues for the quarter, it would be close to $30 million in terms of what it contributed. And so that will give you that view. Obviously, if you back into the PowerFleet piece, we're 76 and change, which was in line with the prior quarter, albeit there was probably about an FX hit of about $1 million across those numbers. So that just gives you a sense in terms of how we did. Obviously, 7% is strong given all the activity that's happened bringing these businesses together. You can appreciate we are spending many, many plates and we're keeping them are spinning so we feel good about that. And then in terms of next year, obviously, we're actively working that now. What I would say is we are beyond excited in terms of what we can do through the telco channel. That's not going to be instantaneous. We're hard at work getting the pump primed for that. And as we noted, as Steve noted on the call, getting things lined up so we can really see that contribute to the top line from sort of the beginning of fiscal 20 -- beginning of second quarter fiscal 2026 onwards. So again, we feel good about what we have. We're actively working it. But there's a lot of moving parts, and we just have to be very thoughtful about what we prioritize and how we see financings.
Steve Towe: And just to layer in, Scott, I mean, we were $3 million to $4 million up, I think, on our guidance for the quarter. So whenever you bring a new business in, it's important to realize we're not yet a year into the MiX merger, and we're 90 days plus now into Fleet Complete. So the majority of the growth came from the PowerFleet MiX side, which obviously we've been able to get our sales motion towards. But as David said, as we pivot towards FY 2026, we very much doubled our focus on AI video, in-warehouse and over the road as unique capabilities. The strength of the Unity platform and to be able to put those enterprise solutions into the channel partners of Fleet Complete, we expect that a good chunk of our growth will come via Fleet Complete in 2026. So it's great for us. We now have enterprise and mid-market, we have direct and indirect. We've got a very nice balance in terms of territories on a global scale. So we think we've done a pretty elegant job to give us all the tools to accelerate that growth. But with all of the change that's been going on and bringing in the new businesses, we're very proud of the performance that we've been able to come out the gate with.
Scott Searle: Steve, maybe a follow-up on the global channels and the global reach now. Certainly, a big win with world's largest global beverage provider. Are you getting to the table now more for some of these larger opportunities, is the global scale starting to play into that, and maybe just a quick update in terms of how you're doing in head-to-head on the competitive landscape? Thanks.
Steve Towe: Yes. So I mean, we're really excited about this deal. One, obviously, because it's a substantial deal in the short-term and potentially pretty seismic in the long-term. But it's -- to your point, the ability for us now to be seen as a global provider, this is one of the world's largest beverage companies who have a lot of operations across the six continents within which we work. And we very much see now we're getting to the table at a larger kind of I would say, transformational TCV value opportunities. So the bigger opportunities. And I think now we're starting to see ourselves addressed in the same conversation, invited to more RFP, have a downside and more credibility in terms of us being able to provide solutions at scale against those kind of top two providers that we always talk about. So a great win, one of many more to come. And what was one of the unique drivers of winning that interestingly is one of our largest competitors has their over-the-road fleet. But by taking us across with our Unity safety solutions into warehouse, one of the other key drivers for the decision was to actually get that single pane of glass from Unity. So when we talk about being able to displace our competitors, when we talk about going up the value chain, and we'll all remember the IMC video from Investor Day where the IT director talks about, we won the hearts and minds because that's where people view the data and we make the data usable. This is a great example of that strategy. So couldn’t be more excited by the way.
Scott Searle: Thanks so much. I'll get back in the queue, but congrats. Great job out of the gate with Fleet Complete. Thanks.
Operator: Thank you. Our next question is coming from Gary Prestopino with Barrington Research. Your line is live.
Gary Prestopino: Hey, good morning, Steve and David. My question, I think, revolves around the last question that was raised in terms of the new deal. Steve, do you feel that as a stand-alone entity PowerFleet prior to these acquisitions would have been able to play at that table, I think you may have answered it but I just wanted to get some clarification there?
Steve Towe: Yes, very in-depth. When we looked at how could we come in and take PowerFleet to the top table and how could we get the credibility, you need scale. And part of our thesis all along was to get it to a point where we have those core ingredients. And that for multiple reasons, that's depth and breadth of product solution, that scale of the organization to support large enterprises and its financial stability as well. So I think we've given ourselves very nice foundations to go and build on this win, and we're definitely, definitely seeing a difference as a stand-alone PowerFleet, we would have been in a different position fighting at a different level of the market.
Gary Prestopino: So in that regard, I mean, Unity has been out as a full platform maybe for a year, a-year-and-a-half. I mean, when you're generating new business, what's the key selling points that the direct sales force is going into with Unity that really capture the attention of a potential account?
Steve Towe: Yes, so I think it's device agnosticism. So the single pane of glass is definitely a driver. Our willingness to allow the customer to consume the data in multiple formats through what we call unified operations, the third-party integrations. And then I think finally, it's been the usability and being able to toggle between your warehouse and your over-the-road solution. So whether that's for safety drivers, compliance drivers, maintenance drivers, sustainability drivers. We're able to give you unique views. And as we're kind of heading up the value chain, we're becoming more mission-critical, both from an IT perspective where we're solving the data problem which is a big data problem for organizations today, but also we're creating value propositions across the leadership group. Those two things in tandem and we are backed up by, I think, the data highway is where kind of people seeing us now as different level to what they've seen out there in the marketplace.
Gary Prestopino: And then just lastly, could you make a couple of comments on what some of the headwinds you're seeing in the logistics field is, I assume these are worldwide headwinds or is it just United States centric?
Steve Towe: Yes. So it's a bit of both. But I would call it more in the way that we sell solutions into those marketplaces. So we did a lot in the commoditized space. The company strategy was in that kind of small to mid-end in terms of chassis and traders. And obviously, there's been quite a retraction and quite a move in terms of the level of inventory that our customers have. So that business slowed. We got ahead of that. It wasn't high value and it wasn't high-margin business but it was decent in terms of our revenue profile. So we moved away from that. We've pivoted for that. That at the moment seems to be a race to the bottom in terms of price as well, where competitors are doing business there. But it was a conscious strategy in the light of the fact that people probably oversubscribed inventory through COVID, and there's a lot of change going on in that industry, predominantly U.S. first but we have seen it around the world as well.
Gary Prestopino: Okay, thank you.
Operator: Thank you. Our next question is coming from Anthony Stoss with Craig-Hallum. Your line is live.
Anthony Stoss: Hi guys, my congrats as well on a strong execution. Steve, I wanted to focus in on the AI Video Safety Solutions segment, really strong growth, 52%. I know that was constrained from the prior private equity owner not wanting to spend or higher. What are the things that you're doing differently and when do you think those will have a big impact on the fast-growing market?
Steve Towe: Yes. So I think we've publicly stated for a long time in terms of our MiX and PowerFleet, one of a better phrase, investment in go-to-market and customer success. We're now doubling down on that in terms of expanding our investment for Fleet Complete as you quite rightly said, things were scaled back pretty dramatically. So I think more people talking to more customers. It doesn't say rocket science, but it makes a big difference for us. And then secondly, what we're able to do now is actually combine the portfolio. So whether that is the MiX came -- sorry, the Fleet Complete cameras, which is the fast in-store cameras, whether it's 360-degree cameras, more high-end stuff that we've got as part of the broader portfolio, whether it's cargo carriers, whether it's pedestrian safety cameras in the warehouse, we have as we come out and said, the broadest portfolio of camera opportunity. We see it as -- we've done a lot of review on to our customer base in terms of Greenfield opportunity there. It is significant. But we have that full range. So we can go to the mid-market, we can go to the enterprise. We can go direct and go indirect. But it's very much one of our three key strategic pillars is to use the competitive advantages we have as hard and fast as we can in the market on a global stage as well. So this isn't just about the channel partners in the U.S., we're seeing strong demand around the globe for those solutions.
Anthony Stoss: And then just as a follow-up, the large beverage company when has that started to generate revenue in the December quarter or what quarter do you think it will start to impact?
Steve Towe: It will continue to impact us in a significant period of time. So it's a layer into to get these things deployed at scale, it takes you up to 12 months to do that. So there was a little bit into this current quarter, a very initial deployment, but that will continue to scale. But the drive out plan to the low to the higher TCV value is a three-year strategic plan that we have with the customer. Obviously, we need to perform. But we're very confident of doing that. But this is a long-term relationship and as I said, this is one which is, I think, a key statement in terms of the new PowerFleet and the size and scale of our capabilities.
Anthony Stoss: Great results guys, best of luck.
Steve Towe: Thank you.
Operator: Thank you. Our next question is coming from Dylan Becker with William Blair. Your line is live.
Dylan Becker: Hey gentlemen. Nice job here. Another congrats. Maybe Steve for you, we talked about other channels going to start contributing kind of second quarter or so, give or take next year. There's the education and the ramp of that. But can you give us a sense kind of their interest right now, kind of the feedback you're hearing that you have all of these assets, they have more tools to go sell, they see the market demand, but give us a sense of kind of how active and hungry they are now to be able to go out there and sell more powerfully and how that obviously kind of aids in the confidence of the double-digit momentum next year? Thanks.
Steve Towe: Yes, so I would say their appetite has exceeded our expectations. We thought it would be strong. But I think in terms of the fact that they are looking for high ARPU solutions, higher ARPU solutions, they're looking for data consumption. You'll remember the SVP from AT&T who described the fact that this year was video, video, video for the organization. We'll have comments on this core kind of play into that. And I think as well, there's been limited partner opportunities for those guys in the marketplace. And I think that some of the relationships they've had outside of Fleet Complete has been established, but I think there's more than enough room for -- to take our end-to-end solutions to market very quickly and very substantially and the winning play is Unity. So if you think about the telcos in terms of wanting kind of being end-to-end solution provider, they want to be the manager and the custodian of data and they want to be right in the heartbeat of the customer's operation, Unity really takes you there. And their view is there's a lot more expanded market verticals that we could play in with Unity over time. We're being cautious because we want to obviously maximize where we are today. But in the broader AIoT space, this is a solution that they've been crying out for. And to be honest, some of them have tried to build themselves, but they haven't had kind of the ability to focus on it. So I think if you take Unity, I think if you take the video solutions, there's a huge appetite for in-warehouse. I think that's a new and unique solution in Greenfield for them as well with a lot of the safety and compliance drivers. And the other one, interestingly is cold chain. So they've really jumped on the cold chain solutions. We were voted obviously by ABI Research as having the best solution end-to-end in smart cold chain. So that's another one which is -- they're very excited to get moving. So we couldn't be more delighted with their engagement. We obviously have to do things really, really well. And from experience, the time spent to get these things off to a great start is really the key to long-term success. We're in the middle of that. But truly, it exceeded our expectation is just the interest and appetite from those large channels.
Dylan Becker: Okay, great. Yes, that's great to hear. Maybe Dave, switching to you as well too on the gross margin front. Encouraging to see kind of the tracking to nearly 70% on the services piece, I guess. How should we think about from a long-term model perspective, how much room is there as we think about kind of the 70% threshold, and how maybe that gives you confidence that this mix continues to shift in some of the longer-term kind of profitability targets or goals as well? Thanks guys.
David Wilson: Yes. Unity is a driver of many things not the least of which is it is a transition over time to software margins. So it has the benefit of solving acute pain points for customers. It's a great way to land and expand. So it makes you go to market superefficient. But most importantly, when you think about interesting data from third-party devices, when you think about aggregating all of the data and solve large departments [ph] through unified operations, this is all pure software. So over time, we do see as the business scales to get the scale benefit, but also the MiX continues to sweeten in terms of increasing its margins to sort of 85% to 90% versus the sort of the high 60s we're seeing today.
Dylan Becker: Good, thanks guys, congrats.
Operator: Thank you. [Operator Instructions]. Our next question is coming from Alexander Sklar with Raymond James. Your line is live.
Alexander Sklar: Great, thank you. Steve, on the go-to-market side just want to see how you're tracking on hiring plans to date relative to that 55% growth outlook that you laid out at Investor Day over the next kind of 12 to 18 months?
Steve Towe: Yes. So we're on track. We're exploring opportunities to go further through self-funding, as you're aware, so yes, that's all I can say, we're on track. We're delighted with some of the talent that we've been able to bring in and we feel good about 2026 and 2027.
Alexander Sklar: Okay, great. And then maybe a follow-up, Steve, just to Tony's question earlier on Unity Safety. But what have you learned about the appetite from some of the legacy PowerFleet and MiX base for these kind of broadened solutions on the safety side that you have available? And then, David, just where Unity safety stands as a percentage of revenue or ARR, the growth rate there, any color on kind of Unity safety as a percentage of total now? Thanks.
Steve Towe: Yes. So very good traction, very good opportunity to add cameras from a safety perspective. Secondly then, the safety-centric ability to have visibility on the road and in the warehouse combined. The MiX customers and the PowerFleet customers now are really engaging on that solution and this is where we're pivoting towards our value propositions around being that true safety partner. So I think we must have mentioned safety-centric solutions four or five times in our prepared remarks, and that's really where the growth is coming from. That's a lot of opportunity for us. It takes a while just to kind of navigate with the customer, their priorities because we are taking a lot of different optionality to them in terms of the different capabilities that we bring. So it's about taking them on a structured journey. But what's really, really refreshing is seeing the sales teams now build two to three-year road maps with the customers. So that true SaaS selling, that true kind of let's prove ROI in one place, let's move on to your other key priorities. That's a big, big shift in solution selling. And that's probably what I'm most excited about. And obviously, what's some of the market drivers for that are safety compliance, insurance and sustainability as well.
David Wilson: Yes. And in terms of the revenue piece of it, you have to think about Unity as an ecosystem. So we're basically driving everything. So Unity is the portal into all of our solutions. So we do it in that way, Alex. So it's not as if we sort of break it out in terms of its own separate component because it's so interrelated, it doesn't make sense to sort of untangle that. In terms of where we're seeing the most amount of success, clearly it's in warehouse. There's huge safety concerns there just with the transition in terms of the employee base coming out of COVID, the transition to electric forklift versus ones that are non-DSO. So all of those things sort of drive incremental demand there. We certainly talked in terms of just the strength this quarter in terms of a nice 40% pickup in terms of in-warehouse safety. So that's the major area of traction. The other one obviously being AI cameras, which is a big growth area. We talked about the 52% increase in terms of Fleet Complete. Now while that's not traditional Unity, it will be transitioning over to the Unity platform and it's something we'll be cross-selling into the sort of the legacy enterprise customers at both Fleet Complete -- sorry, both MiX and PowerFleet. So we'll be driving that as well. So we don't have a separate breakout but if you look at the underlying drivers of growth, it is Unity and clearly, the thing that is resonating most strongly with the market is our in-warehouse safety solutions.
Steve Towe: I'll just add to that. I'll just refer to a slide in the Investor Day deck where we identified a 10x opportunity in our base. Just in terms of multiple product adoption, the key value drivers like safety, we've kind of put some stats in there in terms of the penetration today versus the expected and hopeful penetration tomorrow. So we have a wealth of opportunity. For us now, it's about executing, it is where we are having a lot of engagement strategies with our customers and obviously harmonizing our solution sets which we're making great strides towards as well.
Alexander Sklar: Okay, great, thank you both.
Operator: Thank you. Our next question is coming from Greg Gibas with Northland Security. Your line is live.
Gregory Gibas: Hey good morning Steve and Dave. Thanks for taking the questions. Congrats on the strong results. Given the large beverage company in North America win, you mentioned Australian utility provider, an order from a top mining operator. I just wanted to -- I know you covered a little bit -- give a little bit more color on what are maybe their deciding factors in their selection of PowerFleet.
Steve Towe: Could you repeat that, you broke up a little bit at the end factors of PowerFleet?
Gregory Gibas: Sorry, yes, just wanted to get some more color on maybe the deciding factors on the selection of PowerFleet?
Steve Towe: So I think Unity number one. I think breadth and depth of solutions in terms of in-warehouse and over the road would be number two. And I think also the way that we're locking up in terms of customer success and long-term relationship. And then finally, I would say the improved balance sheet. So those four factors are very key in terms of seeing this as a truly international, truly global player at scale that can go on long-term mission-critical journeys with our customers. And we're holding price very nicely in the marketplace as well. So it's not becoming any price sale, it's very much a value sale, unlocking that value for our customers. And we're really strong in terms of being able to interpret ROI for customers at which they can build for.
Gregory Gibas: Got it. That's helpful. And I wanted to follow up, a little more maybe color on the drivers of the increased revenue and EBITDA guidance ranges and kind of what gives you confidence in the outlook. Could you remind us, I guess, of the drivers of the seasonality expectations in Q4 with the implied sequential decline and should we anticipate maybe any accounting-related impacts that are anticipated in that Q4 guidance?
David Wilson: Yes. So in terms of the guidance, obviously, revenue is up $10 million. In terms of the components of that, $4 million really speaks to the fact that the performance that we just did in Q3 was probably about $4 million higher than the prior guidance. So that's a driver. The other driver is the change in the accounting treatment that you alluded to in terms of there is about $3 million a quarter or so coming through in terms of the net benefit from the change from Canadian GAAP to U.S. GAAP. So in terms of the revenue piece, at $4 million is just a good strong growth, good, strong execution. $6 million is from the accounting change at Fleet Complete. So that would cover the revenue piece, Greg, anything that I'm missing on that side?
Gregory Gibas: No, that's kind of what I was indicating. Thanks for breaking that down.
David Wilson: Yes. And then if you think about the EBITDA guidance, it's $2.5 million on a sort of a $4 million pickup in terms of the organic revenue growth. The $6 million from Fleet Complete, that's in essence, it's not EBITDA generating because there's an offset in terms of OPEX.
Gregory Gibas: I see, alright, thanks.
Operator: Thank you. Our next question is from Scott Searle with ROTH Capital. Your line is live.
Scott Searle: Thanks for taking the follow-up. Dave, maybe just to quickly follow-up on the accounting issue. Could you just clarify again how long that impact is expected to go, what we should be thinking about in fiscal 2027? And then Steve, in terms of new logos, I think at the Analyst Day you guys talked about growth, about 30% coming from new logos and 70% coming from mining the existing base. Given what's happened in the 90 days since the Analyst Day, have you seen any change in your thought process on that front, new logos versus upsell, cross-sell of the existing base? And lastly, maybe if you guys have given any thought in terms of operating metrics going forward that you're going to be sharing with the Street? Thanks.
David Wilson: So let me start with the first and the last, Scott. So, in terms of the pickup in terms of the accounting treatment, one thing we are solving for is rebundling the hardware piece of it. So it's not treated as a separate deliverable. So that is active work that's underway. We expect that will hit within the next sort of five months or so, targeting maybe closer sort of beginning of fiscal 2026. That will reduce the revenue pickup from something that's sort of three today to something closer to $1 million per quarter. So it becomes pretty de-minimus pretty quickly in terms of what's driving that piece of it. And in terms of operating metrics, so much of what we want to do and want to share is predicated upon getting a modern back-office system in place in terms of ERP, in terms of billing, just so we can actually drive metrics globally consistently, so we don't have to hang flank the metrics. The overriding one that we're solving for is net dollar retention. So that is something that we're very keen to drive the business against. We think we're very well positioned as we bring everything together to have a business that can be a really strong engine to get to best-in-class performance there. But that is the one that we're focused on, but it is predicated upon getting the new systems up and running so we can do it consistently, and we can do it accurately on a global business in many different countries with obviously lots of different starting points. So that's what we're driving towards.
Steve Towe: And in terms of your second question, I don't think we're changing course. 70%, we have a lot of opportunity for cross-sell, upsell in our base. And that obviously is a lower cost of acquisition and also speed to revenue is going to be important there. But what I would say is to a lot of the theme that we've talked about, we're being seen now as a top-tier player, which allows us to fight the battles in the new logo market extensively. And we think with our channel partners, they will drive new logo business for us hard. So no change. But we think there is -- what I would say, both areas are sort of defying nicely for us to give us confidence for future growth.
Scott Searle: Okay, thanks so much and congrats again.
Operator: Thank you. As we have no further questions on the line. I'd like to hand the call back over to Mr. Steve Towe for any closing remarks.
Steve Towe: So thank you everybody for your continued support. Very exciting times for us. It's been a lot of transformation, a lot of transition to get to this point. But I will refer back to our comments from Investor Day, this was the start line and we're very encouraged by where we're at today in terms of being able to deliver the performance that we've set forward for FY 2026 and into FY 2027. Just so everyone knows, we will be at the ROTH Conference in a three to four weeks’ time at Dana Point. So I look forward to hopefully seeing many of you then. Take care, and we'll be back in touch soon. Goodbye.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference, and you may disconnect your lines at this time. And we thank you for your participation.